Operator: Ladies and gentlemen, welcome to Nexteer Automotive Group Limited 2025 First Quarter Investor Communication Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Investor Relations Director, Mr. Tony Wang. Please go ahead.
Tony Wang: Thank you, Drew. Good day, everyone. Welcome to Nexteer Automotive 2025 first quarter global investor communication call. On the call today, we have our Executive Board Director, President, CTO and Chief Strategy Officer, Robin Milavec; Senior Vice President and COO, Hervé Boyer; Senior Vice President and CFO, Mike Bierlein. Today's call will be relatively quick, taking around 30 minutes covering a few latest updates from company for Q1. First, we will have Robin to provide an update of the company's business development and then Mike will go through the latest operating environment status, including the view on tariffs. Beyond that, we will take some questions. I would remind you of today's communication package has been posted on our company's website and the safe harbor statement governs today's communication. Now I will hand it over to Robin.
Robin Milavec: Okay. Thank you, Tony and good day to everyone on the call. So I'm pleased to provide a business update for the first quarter. But before getting started, I'd like to thank and recognize our One Nexteer global team. 2025 so far has brought with it ongoing challenges including a very dynamic tariff environment, rare earth mineral supply chain restrictions and other uncertainties. Not only is the team effectively managing these challenges but we also continue to roll out innovative new technology to meet the needs of the global vehicle marketplace. Shortly, I'll highlight some of the announcements made during the Shanghai Auto Show. Our theme for that show was Pioneering Motion Control globally at China Speed through Vision, Velocity and Value. I'm very excited to summarize these new technology introductions here in just a few minutes. After that, Mike will focus more on the latest operating environment we're experiencing and our considerations for the balance of this year. Let's start out with new program launches. So during the first quarter of 2025, we achieved another record of 23 new program launches including 14, representing battery electric vehicle platforms supported by our products and 19 programs, representing new or conquest business. We also had successful program launches globally across all regions with three in North America, five in EMEASA and 15 in APAC. In our EMEASA division we launched several Single Pinion and column-based EPS programs for major European customers. And in APAC, we had several new Halfshaft programs that launched to deliver advanced, comfort, durability and power in new energy vehicles, mainly for Chinese OEMs. Considering the balance of the year, we expect another very heavy EPS launch cycle including our first Dual Pinion EPS in the China market. We're well on track to achieve another record launch year for the full year. Moving into new business wins. I'd like to highlight three accomplishments in terms of new bookings secured in the first quarter. Our strong bookings momentum continues with leading China OEMs, both domestically in China, as well as in support of their global strategies covering both export and localization. Notably, the bookings secured in Q1 with key OEMs include high-end and new products we just recently announced. Those include rear-wheel steering, rack EPS and dual opinion EPS. Second, we successfully resecured an important column business with a North American customer. This business was re-won after having lost it to a competitor several years ago when our customer wanted to diversify its supply panel for full-size trucks. You may remember the financial impact of this program loss had to our North American performance back in 2018 and 2019. Today, we're very excited to win this business back and it's a good example of the benefits of our manufacturing strategy for North America columns that has now enabled us to improve our competitiveness and scale in Mexico. Lastly, as Nexteer has unveiled our latest motion control innovations at the Shanghai Auto Show, our Motion-by-Wire portfolio strategically expanded into Steer-by-Wire, rear-wheel steering, Brake-by-Wire and software. We're very confident to secure more by-wire related bookings throughout the year and accelerating that trend as we enter the second half of this decade. The middle part of this slide indicates our quarterly bookings followed by our forecasted order bookings for the full year. We booked $0.8 billion in Q1, and we're forecasting $5 billion of bookings for the full calendar year. The right-hand side shows, the year-to-date bookings composition. You can see within the year-to-date new business bookings, electric power steering accounted for 36%, while columns accounted for 45%, reflecting the significant booking we gained from a North America customer. This new win also drives high booking rate in terms of divisional and new versus conquest bookings breakdown. And finally, nearly 40% of the total bookings are China OEMs. The strong China OEMs exposed bookings indicate how we are fully aligned with the growth megatrend in China. Next slide is our Motion-by-Wire chassis portfolio expansion. So we have built a comprehensive Motion-by-Wire chassis portfolio that includes Steer-by-Wire, rear-wheel steering, Brake-by-Wire and software. The interactive chassis display shown on this slide demonstrates, how we simulate driving experience and free cabin design, and I'll elaborate a little on each of them. First, Steer-by-Wire and rear-wheel steering, including software and systems integration, hand wheel actuators and road wheel actuators for both the front and rear of the vehicle. We have made great progress to secure several significant Steer-by-Wire bookings in the past couple of years, including one enabled Level 4 and mobility as a service vehicle with a global EV leader and another win with a leading Chinese NEV OEM. We are expecting additional Steer-by-Wire opportunities in the near-term, especially in the China market. In terms of rear-wheel steering, Nexteer strategically designed our rear-wheel steering to solve industry challenges and leverage our existing technology leadership in building blocks. We earned two rear-wheel steering contracts with a leading Chinese OEM and expect to start production in 2026. Next, Brake-by-Wire, Nexteer's new electromechanical braking system officially debuted at the 2025 Shanghai Auto Show. We leveraged our technology building blocks to create a modular high-precision braking system to strategically expand into Motion-by-Wire chassis control. We are expecting to secure our first EMV booking with the Chinese OEM later this year and plan to start production within the next two years. Braking technology is experiencing a shift from hydraulic brakes to electrical-based brakes. This technology shift aligns well with Nexteer's core competencies. Future electric braking systems will leverage electric motors, electronic controllers, mechanical actuators and software. These are all natural extensions of Nexteer's current steering technology. Combined with our competitive global supply chain and manufacturing excellence and expertise, Nexteer is well positioned to aggressively compete in this new market. Nexteer software that drives Nexteer's by-wire technologies and enables software-defined chassis such as advanced vehicle dynamics functions like steer-by-brake and hands-off detection, vehicle health management and tools for accelerating vehicle development and integration. And finally, Driveline, which delivers advanced comfort, durability and power through a portfolio of premium, low mass compact half shafts and high-efficiency driveline joints, especially important in EVs and e-drive powertrains with increased torque and regenerative braking demands. As a proven global innovator of safety critical motion control, Nexteer is a trusted partner across global markets. We have been growing alongside leading Chinese OEMs, enabling them as well as legacy OEMs to anticipate, adapt and get to market quickly with the latest technologies with built-in quality and value. OEMs choose Nexteer because of our vision, velocity and value that's critical to succeed in these hypercompetitive and quickly shifting markets. With that, I'll hand it over to Mike.
Mike Bierlein: Thanks, Robin, and good day to everyone. I'll provide an update on the latest key tariff impacts and Nexteer's position relative to tariffs and the initiatives we are driving to mitigate the exposure. Currently, the main tariffs that we are impacted by include non-USMCA compliant shipments from Mexico to the US, auto parts tariffs on imports to the US, reciprocal tariffs on US imports and tariffs on shipments between the US and China. To frame up our exposure to tariffs, during 2024, North America operations had $2.2 billion of revenue, including $1.3 billion from US operations and $0.9 billion from Mexico operations. We have set up our supply chain and manufacturing operations with a strategy to support our customers within region. This strategy has served us well to mitigate our exposure to tariffs and other risk factors. Our US operations only import approximately 15% of material from outside of the North America region. In addition, we have minimal trade exposures between the US and China. Our Mexico operation is the importer of record for approximately $0.5 billion of finished goods to the US. The majority is already USMCA compliant, which allows for the goods to be imported to the US without additional tariffs. We are actively working with our customers and suppliers to mitigate tariff costs through changing sourcing locations and our ongoing dual-sourcing initiative. To the extent that tariffs cannot be avoided, we are negotiating recoveries with our customers to pass along the remaining costs. Turning to 2025 considerations. We are on track to deliver above-market revenue growth of 200 to 300 basis points year-over-year. APAC is a key driver as we continue to grow with the China OEMs. We are seeing the benefits of our initiatives to reduce fixed costs, optimize footprint, and improve supply chain efficiency. These initiatives are driving continued margin expansion in our results to-date. We are closely monitoring tariff developments and potential implications on North America production volumes. We are confident that we are well-positioned to navigate this challenging environment by partnering with our suppliers and customers to reduce tariff costs, then negotiating the remaining tariff costs as pass-throughs to our customers. I'm excited by our motion by wire technology and strategy as it is central to our long-term growth. This shift from hydraulic to electric to by-wire control unlocks precision, efficiency, and compatibility with autonomous and EV platforms. Our leadership position in steer-by-wire technology and our recent announced entry into electromechanical brake systems, which is an advanced brake-by-wire solution are a testament to our expansion strategy into motion-by-wire chassis control. We have made great progress to secure several significant steer-by-wire bookings in the past couple of years, including a program with a global EV leader and another win with a leading Chinese NEV OEM. We are seeing demand for by-wire technology increasing. We expect to secure more by-wire bookings throughout the year, especially in the China market. Our strategy for profitable growth is a key enabler to our success at driving the business forward with above-market revenue growth and increasing profit margins. This concludes our Q1 business update, and I'll turn the call back to Drew to open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Rebecca Wen with JPMorgan. Please go ahead.
Rebecca Wen: Hi. Thank you for taking my question. So, the first question is you have any update on the latest trend in the North America, especially the U.S. market? I understand that IHS had cut the North America production number to a 9% decline for this year. But I think so far, we have not yet really seen that impact coming through in the monthly sales numbers yet because we have the rush purchases ahead of the tariff increases. So, what is the latest trend like in terms of U.S. OEMs production orders so far? How are you seeing the North America especially in the U.S. market demand in the next few months?
Mike Bierlein : Thanks for the question Rebecca. This is Mike. I'll try to give you an answer on that one. So far year-to-date we've seen the volumes within North America performing according to our expectations. The market is performing quite well so far. And we see strong continued customer schedules in the near term. I think the uncertainty that IHS had projected in their prior forecast is really related to this dynamic tariff environment that we're facing. And certainly we look to IHS as one input as we think about the forecast from our side as well. And I do know that based on some of the negotiations say over this past weekend between the U.S. and China some of the -- certainly the tariff environment has improved since then. And also -- that also means that the assumptions stay within the IHS forecast likely have improved as well from there. So I think that the back half of the year remains volatile at this point. And I'd say it's really largely related to how this tariff situation plays out in North America. We certainly remain optimistic. We have year-to-date very strong results both from a top line and we're really seeing continued momentum on our profit margins increasing as well as we talked about with you as well in the March time frame. So again we'll have to see how the volumes play out and we're prepared to react on our side to any environment.
Rebecca Wen: Thank you, Mike. Maybe just quickly follow-up on that. So because the auto tariffs just came in effective from I think 3rd of May for the auto parts tariff. So are we seeing any changes in terms of our customers' order trend or guidance for May, June like how does it compare with March April versus our previous budget?
Mike Bierlein : Yes. So generally our customers give us near-term production schedules for the next couple of months. And what we're seeing those schedules are remaining strong really no change related to these incremental tariffs. Again we'll have to see how this plays out over time. But so far we continue to see that volumes at least in the near term are remaining strong.
Rebecca Wen: Okay. And my last question is relating to the USMCA tariffs. So my understanding is like even for USMCA compliant auto parts there is still a 25% tariff on the non-U.S. content. Is this still the case? And like has the U.S. set up establish a system to track this? And what is our percentage of content that are non-U.S. and that will be charged by this 25% for the USMCA compliant parts?
Mike Bierlein : Yes. So in order to be USMCA compliant for shipments from Mexico to the U.S. there needs to be currently 75% content coming from North America. And to the extent that the goods are compliant then they're able to be imported from Mexico to the U.S. in fact with 0 tariffs. That was true before these new tariffs came into play and that's been true so far since the incremental tariffs have been put in place. To the extent that parts are not USMCA compliant, now they are facing an incremental 25% tariff. So the majority of our parts that we import from Mexico into the US are already USMCA compliant. And we are working actively with our customers and suppliers to continue to make sure that our future products as well as our current production that is not USMCA compliant, reaches this USMCA compliant threshold.
Rebecca Wen: Yes. Mike, actually I was asking about even for the USMCA compliant products, my understanding is there will be still a 25% tariff on the non-US content of the USMCA compliant product. I'm not sure if my understanding is correct or if that policy has changed over time already.
Mike Bierlein: Yes. So far there is -- it's either USMCA compliant for shipments from, say, Mexico to the US. If it's USMCA compliant, that's a zero tariff. If it is not USMCA compliant, that's an incremental 25% tariff. So far there's no additional, say, tariff if there's -- depending on if there's, say, non-US content.
Rebecca Wen: Okay. Understood. Okay. Thank you. That’s all my questions. Thank you.
Operator: [Operator Instructions] Thank you so much for all of the questions and today's participation. If there are any further queries, please contact us at investors@nexteer.com. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.